Operator: Good day and welcome to the Steel Dynamics Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management remarks, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised this call is being recorded today, October 19, 2023 and your participation implies consent to our recording this call. If you do not agree to these terms, please disconnect. At this time, I would like to turn the conference over to David Lipschitz, Director, Investor Relations. Please go ahead.
David Lipschitz: Thank you, Holly. Good morning and welcome to Steel Dynamics third quarter 2023 earnings conference call. As a reminder, today’s call is being recorded and will be available on our website for replay later today. Leading today’s call are Mark Millett, Chairman and Chief Executive Officer of Steel Dynamics and Theresa Wagler, Executive Vice President and Chief Financial Officer. The other members of our senior leadership team are joining us on the call individually. Some of today’s statements, which speak only as of this date maybe forward-looking and predictive, specifically preceded by believe, expect, anticipate or words of similar meaning. They are intended to be protected by the Private Securities Litigation Reform Act of 1995 should actual results turn out differently. Such statements involve risks and uncertainties related to integrating or starting out new assets in the aluminum industry, the use of estimates and assumptions in connection with anticipated project returns and our steel metal recycling and fabrication businesses as well as to general business and economic conditions. Examples of these are described in the related press release as well as in our annual filed SEC Form 10-K under the heading Forward-Looking Statements and Risk Factors found on the Internet at www.sec.gov, and if applicable, in any later SEC Form 10-Q. You also find any referenced non-GAAP financial measures reconciled to the most directly comparable GAAP measures in the press release issued yesterday entitled Steel Dynamics Reports Third Quarter 2023 Results. And now, I am pleased to turn the call over to Mark.
Mark Millett: Thank you, David. Good morning, everybody. Thank you for being with us on our third quarter earnings call. As you saw in the release, once again, our teams achieved a solid financial and operational quarter. Almost 80% of our facilities had zero safety incidents, and our company-wide trailing 12-month incident rate is running at an all-time low. So congratulations to everyone, but more importantly, thank you for all your work to make that happen. It takes each and every one of us to get there. Cash from operations was a healthy $1.1 billion, and with the adjusted EBITDA generation of $876 million. I think this performance truly affirms the cash generation resiliency of our diversified value added product portfolio. Seeing significant momentum in our aluminum flat rolled investments, both current and prospective customers are excited by our market entry and the new and differentiated supply chain solutions we can provide. They're actually very, very surprised by the speed and completeness of our execution so far. Sinton mill has proven its nameplate production capacity rate, and full product capability, but does remain challenged by equipment reliability issues. We're confident we can resolve the majority of these issues by the year-end. Successes cannot be achieved without the best metals team in the industry. I am incredibly proud to the whole SDI family. Their passion and spirit form the foundation of our company. They drive our success and it's an honor to work among them. In fact, in this world of turmoil with the human catastrophe happening in the Ukraine, the atrocities in Israel, the suppression of the Palestinian people and even closer to home, the anger and divisiveness within America and our political structure really is inspiring to come to work each and every day and be surrounded by very, very positive people that think right, they get it, they treat people right and a focus on what we do each and every day. As such, our greatest leadership commitment is to our SDI family. Not only our colleagues that come to work, but also their partners in life and their kids. They remind our team’s great financial performance of no importance without keeping everyone safe. We continue to be focused on providing the very best for the health, safety, and welfare. Today, the SDI family, when you include everyone, we have over 45,000 people that are reliant on the decisions that we make each and every day and we're focused. We truly are focused on that. Together, we're actively engaged in safety at all times and at every level, keeping safety top of mind and an active conversation. Before I continue, Theresa would you like to give us some details?
Theresa Wagler: Good morning, everyone. Thank you, Mark. Add my sincere appreciation to our teams for a really solid performance in the third quarter. Our third quarter 2023 net income was $577 million or $3.47 per diluted share with adjusted EBITDA of $876 million. Third quarter 2023 revenues of $4.6 billion and operating income of $734 million were lower than sequential second quarter results driven by lower realized steel and steel fabrication pricing. We see solid industry fundamentals for the rest of this year and beyond, and we're focused on our continued transformational growth initiatives. Our steel operations generated operating income of $474 million in the third quarter lower than sequential second quarter results due to flat rolled steel pricing metal spray compression as realized pricing declined more than average scrap costs. Our steel shipments remain steady at 3.1 million tons, excluding the lost volume of approximately 90,000 tons related to Sinton's unplanned July outage. We expect our four new flat rolled coating lines to begin operating in the first quarter of 2024 at both Sinton and Heartland increasing our value added mix by additional 1 million tons making so that our total coating capacity will be 6.9 million tons going forward. For those that track our detailed flat rolled shipments, in the third quarter, we had hot rolled and P&O shipments of 858,000 tons; cold rolled shipments of 132,000 tons; and coated shipments of 1,202,000 tons. Operating income from our mills recycling operations was $19 million, significantly lower than second quarter results due to non-ferrous and ferrous metal spray compression. Ferrous scrap demand was also reduced as numerous domestic steel mills had maintenance outages in the quarter. We are the largest North American metals recycler, processing and consuming ferrous scrap and non-ferrous aluminum, copper, and other metals. The team continues to lever our circular manufacturing operating model, providing higher quality lower cost scrap to our still mills, which improves furnace efficiency and reduces company-wide working capital requirements.  Our steel fabrication operations achieved operating income of $330 million in the third quarter lower than sequential second quarter results, yet historically strong as average realized pricing declined 11% and volumes declined 16,000 tons. Our steel joist and deck demand remains solid with good order activity. Our backlog extends through the first quarter of 2024. The backlog has contracted from record highs experienced in 2022 as shipments have outpaced spot order activity. Forward backlog pricing remains very strong and spot pricing resilient. Based on our backlog, customer sentiment and manufacturing momentum, we expect steel fabrication earnings to remain solid in the fourth quarter, but below third quarter levels based on seasonally lower volumes. Infrastructure, Inflation Reduction Act, Department of Energy decarbonization support and manufacturing onshoring are expected to support domestic fixed asset investment in related steel and joists and deck consumption in the coming years. Our cash generation continues to be strong based on our differentiated circular business model and variable cost structure. During the third quarter of 2023, we generated strong cash flow from operations of $1.1 billion and generated $2.7 billion on a year-to-date basis. At September 30th, we achieved record liquidity of $3.7 billion inclusive of cash, liquid investments and our unsecured $1.2 billion revolver. Year-to-date of 2023 we've invested $1.1 billion in capital investments. For the fourth quarter, we estimate capital investments will be in the range of $500 million to $550 million, of which around $350 million is related to our aluminum flat rolled investments. Much of the remaining capital is related to the completion of our four new value added coded lines. In February, we increased our cash dividend 25% to $0.425 per common share. Year-to-date 2023 we've also repurchased $1.1 billion of our common stock, representing almost 6% of our outstanding shares. At September 30th, $278 million remained authorized for repurchase under our existing $1.5 billion authorized plan. Since 2017, we've increased our dividend per share by 174% and repurchase $5.2 billion of our common stock, representing over 40% of our outstanding shares. Our capital allocation strategy prioritizes high return growth with shareholder distributions comprised of a base positive dividend profile that's complimented with a variable share repurchase program. We remain dedicated to preserving our investment grade credit designation at the same time. Our free cash flow profile has fundamentally changed over the last five years, generating from an annual average of $540 million to $2.6 billion today. We've placed ourselves in a position of strength to have a sustainable capital foundation that provides the opportunity for meaningful strategic growth and strong shareholder returns while maintaining investment grade metrics. Our aluminum growth strategy is consistent with this philosophy. We will readily fund our flat rolled aluminum investments with available cash and cash flow from operations. We also plan to continue strong and responsible shareholder distributions as we've clearly demonstrated, we're squarely positioned for the continuation of sustainable, optimized long-term value creation. Sustainability is also a significant part of our long-term value creation strategy, and we're dedicated to our people, our communities, and our environment. We're committed to operating our business with the highest integrity. In that regard, we remain excited about our joint venture with Aymium, a leading producer of renewable biocarbon products. We believe our first joint venture facility could decrease our still scope one greenhouse gas emissions by as much as 35%, and we currently expect to have the facility operating in the second half of 2024. We have an actual path toward carbon neutrality that is more manageable and we believe considerably less expensive than may lay ahead for many of our industry peers. Our sustainability and carbon reduction strategy is an ongoing journey, and we're moving forward with its intention to make a positive difference. And again, before I turn the call back over to Mark, I just want to thank the teams for a great performance. Mark?
Mark Millett: Super. Thank you, Theresa. As you saw, the steel fabrication platform continues to perform well and it turned in another solid quarter. We continue to have high expectations for the future earnings profile of this business. We believe non-residential construction markets will be strong in the coming years. Some residential starts and build rates are forecast to remain strong into 2024, and related spending has been higher in 2023 compared to the last year at this time. So political dysfunction has delayed the awarding of public monies likely into the first quarter of next year, the infrastructure spending and fixed asset investment related to the IRA programs, along with the reshoring and manufacturing should provide momentum for additional construction spending through 2024 effectively extending the construction cycle. And customer commentary has, as I talked to lot of folks out there, has confirmed our positive outlook. Deal of fabrication order backlog has certainly shortened from its historical high of over 12 months achieved in 2022, but it remains strong from a historical perspective, standing through March, 2024 with strong forward pricing. Current order entry pricing remains resilient. Not only a significant contributor unto itself, our fabrication platform provides meaningful pull-through volume for our steel mills, particularly important in softer markets, allowing for higher through cycle steel production utilization rates compared to our peers, adding to the resiliency of our through cycle cash generation. Furthermore, it provides an effective natural hedge to lower steel prices. Our metals recycling platform had a challenging quarter. Its demand from domestic steel mills softened and realized ferrous scrap prices declined. Scrap prices pulled back in the third quarter with bushing prices falling some $80 a ton. The North American geographic footprint of our metals recycling platform provides a strategic competitive advantage for our electric arc furnace steel mills, and our scrap generating customers. In particular, our Mexican locations competitively advantage our Columbus and Sinton and raw material positions. We also strategically support aluminum scrap procurement for our future flat rolled aluminum investments. Our metals team is partnering even more closely with both our steel and aluminum teams to expand scrap separation capabilities through process and technological solutions, enhancing margin, increasing the availability of low residual ferrous scrap. This will mitigate prime ferrous scrap supply issues in the future. It'll also provide us with significant advantage to materially increase the recycled content for our aluminum flat rolled products and increase our earnings opportunities on that platform. Our steel operations achieve strong shipments of 3.1 million tons and solid financial results in the third quarter. Steel production utilization rate when you exclude Sinton was 90% compared to a domestic industry rate of some 76%. The higher utilization rates have been clearly demonstrated throughout all market cycles driven by the value added diversified product offerings, which are amount to 70% of our sales. And this, as Theresa mentioned, will increase further with the addition of two galvanizing and two paint lines that will be commissioned in the first quarter of 2024. Differentiated supply chain solutions driving customer preference and mitigating price volatility and support of downstream internal pull-through manufacturing volume are all contributors. Our higher through cycle utilization rate is a key differentiator and supports our strong and growing through cycle cash generation capability and best-in-class financial metrics. Looking forward, steel backlogs are strong and customer order entry is good. Customer inventories are also at historically low levels. Auto production estimates for 2023 remained around 15 million units, but obviously with the ongoing strike, the outlook for the remainder of the year is somewhat opaque. So positively, dealer inventories remain below historical norms, which will be further reduced by the ongoing strike. [Indiscernible] demand there is still strong and with tight supply, the auto build rate will likely be higher than the already anticipated 16 million unit plus for 2024. In the meantime, unfortunately, our auto direct flat rolled exposure is more concentrated toward European and Asian producers, which so far has mitigated the strike impact on our flat rolled auto volume. Although not a significant impact to overall earnings, we are seeing greater impact at our engineered bar division as their 15% -- 20% auto exposure is mostly consumed by domestic auto producers. Non-residential construction remains solid. Our long product steel backlogs are good and customer inventory levels are low. General market is estimated to be off 8% of some due to seasonality, but should rebound as infrastructure spending provides meaningful support in the first half of 2024. The turn down in residential construction seems to be abating with a depletion of available home inventory. Oil and gas activity is strong driving improved orders for OCTG products and still continues to grow at a rapid rate. In total aggregate, long product demand remains solid and in flat rolled lead times are extending. We're seeing excellent order entry. Supply chain inventory is low, and pricing is certainly in an upward trend. We certainly anticipate further meaningful strength once the strike is concluded. Turning to Sinton. After the unplanned July outage related to the caster shear, the Sinton team produced over 290,000 tons in the quarter. The mill has clearly demonstrated its production rate capability and achieving 36 heat sequence lengths, and it’s exceeded its hourly nameplate run rate. However, as I said, the constrained production is manifest from a low utilization rate caused principally by equipment reliability issues. That said, we expect to progressively ramp up to about 70% total run rate by the end of 2023, reaching a production of 2.4 million tons for 2024.  Despite our challenges, the team has demonstrated the key competitive advantages of the Texas steel mill. We have completed full product dimensional capability. It's proven up to one inch thick, down to 053, I do believe out to 84-inch width. Customers are reporting exceptional surface quality and the hot strip mill design has allowed for thermal mechanical rolling, allowing production of higher strength grades, tough grades with lower alloy content and thus lowering costs for those value added products. We've achieved grade 80, 100 and already been approved for some API grades. I think just generally, it affirms our technical and process choices, and there's no doubt that in my mind it's the next generation of electric arc furnace flat rolled steel technology of choice. We have gained strong market acceptance and we can sell every pound of steel we make. Our exceptional through cycle operating and financial performance continues to support our cash generation and our growth investment strategies. Relative to our expansion into aluminum, as I said the responses from existing and new customers across all markets is absolutely incredible. We are developing the site. We purchased some 2,600 acres, I do believe, but we're developing it for the colocation of customers with the rolling mill as we successfully did in Sinton. We're seeing a number of customers who are already indicating strong interest in that model because it provides a sustainable, competitive model for all of us. To recap the project, the 650,000 metric ton flat rolled facility, the rolling mill will be located in Columbus, Mississippi, state-of-the-art facility, serving the sustainable beverage and packaging, automotive and industrial sectors. Approximately 300,000 metric tons will be canned, 200,000 tons auto and 150,000 industrial. We have onsite mill and cast slab capacity in Columbus of around 600,000 metric tons and the project will be supported by two satellite recycled aluminum slab casting centers one in central Mexico and one in Arizona to capture scrap close to its source. We'll have two cast lines, coating lines, and downstream processing and packaging lines to fully support our customer base. Startup plans are still anticipated for mid-2025 start for the rolling mill. Mexico slab center should start up late 2024, perhaps January 2025, and the Arizona slab center in the first quarter of 2025. So the project cost, including all recycled slab centers, is around $2.5 billion, 100% to be funded with cash. As we stated in the past, we expect a through cycle annual EBITDA of around about $650 million to $700 million from the aluminum portion, and the support of OmniSource will draw another $40 million to $50 million for them. I think the market from an investment premise perspective, what excites me is the market environment is very similar to the domestic steel industry when we started SDI 30 years ago. The industry generally has older assets, had a tough time earning its cost of capital. There's been little reinvestment over the last 45 years. It has heavy legacy costs, tends to be inefficient in high cost operations. Again parallels the situation we saw within the steel industry 30 years ago. According that we see a definite deficiency in supply that is exists in North America. And that deficiencies expected to grow even with our and second competitor's new facility. From our perspective, it is an adjacent industry to us. It leverages our ability to design and build commission ramp up the large capital assets and operate those assets very effectively, efficiently, at low cost through our performance and incentivized innovated and very effective culture. In closing, we're excited and impassioned and we always are, and we continue to be by our future growth opportunities as they will continue to the high returning growth momentum we have consistently demonstrated over the years. Culture and business model continue to positively differentiate our performance leading to best-in-class financial metrics, allowing a balanced cash allocation strategy that has rewarded our shareholder by top-notch in class returns. We're no longer a pure steel company, but an integrated metals business providing an enhanced supply chain solutions to the industry. In return [ph], mitigating volatility and cash flow generation through all market cycles. Our teams are a foundation. I thank each and every one of them for their passion and their dedication. We're committed to them. As I remind those listening today, that safety for yourselves, your families, and for each other is the highest of priorities, but competitively position and continue to focus on providing superior value for our company, our customers, team members, our shareholders alike. Thank you. Thank you for joining us again today. And Holly, we would love to turn it over to questions.
Operator: Thank you. [Operator Instructions] Your first question for today is coming from Martin Englert at Seaport Research Partners.
Martin Englert: Hello. Good morning, everyone.
Mark Millett: Good morning.
Martin Englert: Within the Steel segment, steel conversion costs, which do include some substrate costs increase I think to around about 576 per ton in the quarter from 522. Is there any additional color that you can share regarding the portion of substrates, and maybe some positives and negatives when you think about these sequential change in contributions between true conversion costs and substrates, as well as if there was any material impact from the Sinton outage on that conversion cost.
Theresa Wagler: Good morning, Martin. It's Theresa. Great question and observation. It really didn't have anything to do with the change in substrate mix, but that can have an impact. But there's two things that I would point to. One is the fact that because Sinton didn't operate all of July, the way that you're calculating your conversion costs, that lack of volume does have a pretty significant impact. It's not that there was additional costs, the costs were pretty de minimis. It's just that lost volume affecting the denominator. It's really affecting your conversion costs on a per ton basis, a little bit on an outsized way. The second thing is that we are preparing to start the value added lines in Heartland and then Sinton will follow thereafter in the coming months. And there's some additional costs related to that as well. But nothing to point to that would be systemic of higher conversion costs going forward.
Martin Englert: Okay. So there's certainly a one-off that seemed material for the quarter and then some lingering, kind of transitory as you're working on ramping the other value added assets that will -- how long do you think that will persist for -- through the fourth quarter and then in the first quarter of next year? Any idea?
Theresa Wagler: No. So Martin, with the advent of Sinton now operating and not being a part of that outage, you're going to have that incremental volume, which is going to really make that conversion cost get back in line with what you're used to seeing. But the value added line, there is some incremental cost. It's nothing that is necessarily significant that you'll have to try to figure out for the fourth quarter. We have two of the lines coming line maybe even before the end of the year with the remaining two for the first, probably first couple months in the first quarter.
Martin Englert: Thank you for that. If I could one last one here, excluding 2020, looking at seasonality in 4Q total steel shipments, they tend to decline around 5% sequentially. Is there anything you're seeing this year that would suggest something different? And I imagine comparing the sequential with the Sinton outage and then Sinton backup probably might have an impact here on a sequential basis.
Theresa Wagler: Yeah. So you're spot on, Martin. We would expect to see normal seasonality within the steel operations, but as you have now Sinton ramping up and operating for the full fourth quarter, you will see some benefit from that additional volume.
Martin Englert: And you're aiming for 70% utilization on exit for the year with Sinton, correct?
Theresa Wagler: That's correct.
Martin Englert: Okay. Thank you very much. Congratulations navigating the downward market on and the continued growth investments.
Theresa Wagler: Thanks Martin.
Operator: Your next question is coming from Carlos de Alba at Morgan Stanley.
Carlos de Alba: Yeah. Thank you very much. Good morning. Just continue on Sinton. I wonder if you can give us a little bit of color on the EBITDA generated by the operation, and how you see that going forward.
Theresa Wagler: Martin, I'm sorry. You cut out.
David Lipschitz: Do you repeat that?
Carlos de Alba: Yeah. Yeah. Sure. Just on Sinton, given the outrage and that you experienced, but things now are ramping up nicely and you expect full production, well at least production throughout the fourth quarter. How do you see the evolution of the EBITDA generated by the company, by this -- the plant Sinton?
Theresa Wagler: Carlos, we can't give -- we won't give specific guidance on the earnings associated with Sinton. We are giving updated items on volume so that you can understand from a modeling perspective. So we would expect to see a significant improvement from the third quarter given the fact that we weren't operating all of July. But that being said, I really can't give you any guidance specific to what the EBITDA will be at Sinton.
Carlos de Alba: All right. And then just maybe one more on the fabrication business. You did mention strong forward pricing in your backlog. Is there any additional color that you can provide given, the extraordinary strong pricing that we have seen in recent quarters relative to history?
Theresa Wagler: No, that's okay. It has to do with fabrication the pricing in the backlog. So from a historical basis and even from recent 2023, the pricing in the backlog is very strong. Much higher than previous historical peaks. We've seen that be maintained the spot market, where the order activity isn't as strong as it was in 2022. It's still really good from the -- a historical basis, but that is contracting the backlog somewhat. So now it extends through the first quarter of 2024. And I think something else that we just -- I want to keep in perspective. Mark mentioned it on his opening notes, but I want to reiterate it because I think it's really important. We've been talking about the IRA monies, the Department of Energy monies, monies that are coming from the administration for public dollars. It's our estimate. And others would agree that there's likely not even 5% to 10% of that money that's been allocated or awarded yet. It's going much slower than anyone had expected and much slower than the administrative -- administration had indicated that it would. So those projects aren't benefiting the elongation of construction, steel consumption success, asset investment, steel joist, and deck demand as well. We're fully expecting, and what we're hearing from the administration and from others is that those dollars will start flowing in the first half of 2024. So right now there's a bit of a gap in funding and I think you're seeing that in the volumes, but we fully expect that to pick up and improve in 2024 and 2025.
Carlos de Alba: Thank you very much.
Operator: Your next question for today is coming from Tristan Gresser at Exane BNP Paribas.
Tristan Gresser: Yes. Hi. Thank you for taking my questions. Maybe the first one, following up on the fabrication. You provided some guidance back in Q2 and I now understand that the stable volume guidance half and half is no longer valued. So I was wondering if -- and it's not the first time the guidance has been cut there, so what is driving quarter after quarter that they can have cut in that weakness? And you provided some color on the sequential movements. I guess on the scale side for Q4 volumes, can you tell us a little bit more about fab. And the same question a little bit on ASP, you guided for down 10% to 15% in H2 versus H1 on the ASP front. The Q3 ASP is already down 17% versus that level. So can you help us try to calibrate the weakness in ASP we should expect in Q4, but also in Q1 because you have some visibility into that quarter as well.
Theresa Wagler: From a modeling perspective, just from a volume, I mentioned in my opening notes that we do expect to see some regular seasonality in the steel fabrication volume as well. So sequentially we would expect it to be modestly lower than what you would've seen the third quarter. But again, we're not attesting that to -- I think I addressed the consumption question when I responded to Carlos. As it relates to average pricing. Again, the backlog's very strong. If you're having seasonally lower volumes, I think it's a reasonable expectation to think pricing will be down somewhat, but we don't see it being in the same magnitude as the sequential second to third quarter, it'll be somewhat less than that.
Tristan Gresser: Alright. If I may…
Mark Millett: Relative to the pricing, it's -- the market actually has been a little confounding because since mid-July, we have seen the market being very, very strong, very solid. In fact, order input rate has been great. You have a situation where people -- it was more emotional there. There's no main structural change in demand that allowed, or pushed pricing down. It was more emotion relative to the strike. Mid-September when people recognized that it's sort of already been baked into the price, when they saw that inventories are very, very, very low and the supply chain, they see that lead times are stretch -- already stretching out, that we've seen an inflection and that there is definitely an upward momentum in collaborative pricing today. It's our anticipation and the anticipation of others that there's going to be quite a market increase in pricing once there's a resolution to that strike. Looking forward, we see a very positive -- very positive constructive market environment.
Tristan Gresser: Thank you. That's very helpful. If I just have a quick follow up and this time more on the capital allocation side. I mean, given the current context, and I think you touch on and you reaffirm what are your capital allocation priorities are, can you just reiterate what you view on inorganic growth? And could you confirm that at the moment you're not interested in looking at large acquisition on the flat rolled side and that's not an area of focus and that right now a 100% of your attention is on aluminum?
Theresa Wagler: Tristan, we can't confirm that. So from a growth perspective, we're very transparent on capital allocation. Our primary focus is for high return growth, and that can be both organically and it can be transactional. We are very much focused on the aluminum strategy and that will be a priority. We are sitting with record liquidity at the end of the quarter of $3.7 billion. So we really have, I think, the luxury and we don't take it for granted, it's because of the performance of the teams, which is incredible, the luxury to be able to both invest organically, transactionally if there was something that were to fit into our long-term strategy as well as continue with the strong shareholder returns. And that at this point in time is our full intent, is to be able to accomplish that.
Tristan Gresser: All right. That's very clear. Thank you.
Operator: Your next question is coming from Timna Tanners at Wolfe Research.
Theresa Wagler: Hey, good morning, Timna.
Timna Tanners: Wanted to just ask a little bit more about Sinton. If I go back in my notes, a couple years ago you were talking about being at full capacity, 3 million tons, and now you're talking about 70%, 80%. So I'm just trying to understand, is there some reason that it's no longer expected to run full out or are you just assuming like maybe some gradual ramp up? I just want to understand that better.
Mark Millett: Yeah. No. That's fine. We probably have not done an elegant job of explaining that. The 70% is just the run rate at the end of this year, Timna. Again, we'll continue to ramp up. We expect to be 2.4 million tons total production next year, which I think is around over 80% of the 3 million. And then we'll continue to ramp up from there. There's absolutely no doubt that the plant capability can exceed the 3 million ton nameplate that we've advertised in the past.
Theresa Wagler: And I guess just to bring a little bit more clarity to that. We would expect to be operating around that full capacity by the middle of 2024, Mark's just giving a total year view.
Timna Tanners: Helpful. Okay. Thank you. One other timing question was really on the downstream lines that are going to really enrich your product mix. And in the presentation it says they're starting in the second half, but I thought I heard you saying they were contributing more in the first half. So just trying to get the cadence of when that ramps up.
Theresa Wagler: Yeah. It probably should have been updated in the investor deck. I'm guessing that's what you're pointing toward. We're planning to have the Heartland paint line and the Heartland galvanizing line running first, which could be towards the end of 2023. But probably moving into that first month and a half in 2024 and then very closely thereafter, Sinton's additional paint line and galvanizing line will be starting as well still within the first quarter of 2024.
Timna Tanners: Great. Thanks. And then the last question, if I could squeeze it in is just on the CapEx guidance. I think we had -- last quarter you had talked about a number for 2024 of about 1.5 billion and just with the higher CapEx guide for Q4, we just wanted to check on if that number is still right for 2024. Thanks again.
Theresa Wagler: You're welcome, Timna. Actually, we're in the middle of planning for 2024 on the capital investment side right now. It looks like it's going to be closer to $1.8 billion to possibly $2 billion. I'll be able to put a finer point on that as we get through the first quarter, but it's primarily comprised of a little bit more on the aluminum side just from a timing perspective, not a total investment. So aluminum may be as much as $1.3 billion to $1.4 billion next year. We also have the construction and startup of the biocarbon facility, which could be as much as $150 million to $175 million. And then we have some tail to the four value added lines as well of maybe a $100 million. So I will be putting a finer point on that, but right now I'd say it's probably in the range of $1.8 billion to $2 billion.
Timna Tanners: Appreciate it.
Operator: Your next question for today is coming from Bill Peterson with JP Morgan.
Bill Peterson: Yeah. Hi. Good morning. Thanks for taking the question. We've been seeing some reports that the US and Europe are ahead of this summit tomorrow. Maybe looking at removing some of the tariffs or adjusting quotas and things like that. I guess, assuming that some of this does happen and quotas go away, how would you see this impacting the US steel market?
Mark Millett: Well, I guess we don't have the same intelligence that others have from our folks on the hill and just conversations. It really seems still up in the air. The European position and the US position are totally at odds, and not much progress has been made, but maybe you are wrong. That said, obviously the tariffs today, a lot of that has been negotiated away in only probably 25% or so of incoming, steel imports are affected by that. And obviously quotas are in place with Brazil and here and others. I would imagine that they will remain in place in some form of fashion. European tariffs maybe that is a little different, but Europe is not really a influence on our market, in all honesty. If you look at the straightforward arbitrage today between -- well, Asian pricing and European pricing, not that that attractive. We don't necessarily see a big influence there. We do feel strongly that any tariff and quota type activity will transition into some form of carbon tax on border tax. Actually, in the long run will likely be a lot more effective than the perhaps was in place today. Again, we need to remember and highlight that the principal trade constraints, the countervailing duty anti-dumping cases that were brought in 2015 went through sunset last summer and got continued. I think it's another five years. Those are legislative in nature. They won't change. They firmly, firmly, or eliminate these imports, for instance, certainly in addition with, or in concert with the kind availing duty.
Bill Peterson: Okay. Thanks for that color. Second question. So on bar volume, so you mentioned that there's some impact with the strike, but the strike really only started, I guess in late in the third quarter. So how should we think about the trajectory of volumes, assuming a bigger hit in the fourth quarter for that segment?
Mark Millett: Well, for us, we don't really see a major change in volume from an automotive perspective in the fourth quarter for us. As I mentioned in my notes, we have a large percentage of our auto book is European and Asian. They are not impacted by the strike as of now. We are -- we do have some business with Aymium and with Ford. But again, on a percentage basis, it's not going to be monumental to our book volume or earnings.
Bill Peterson: Okay. Thanks for sharing the insights.
Operator: Your next question is coming from John Tumazos with John Tumazos Independent Research.
Unidentified Analyst: Thank you. 
David Lipschitz: Hi, John.
Unidentified Analyst: With all the great dynamics benefiting the steel business, industry-wide apparent demand looks like it's trending about 8 million tons below the average of 2017, 2018, 2019. I don't know what's normal, but I'm looking to the pre-pandemic period. Your own choice business is off 16,000 tons sequentially, and I guess 56,000 tons year-on-year. And there's no inventories in choice because they're made custom order. What are the segments that are down that are negating some of the other growth or accounting for the decline? A high rise office building with work at home with lower consumer spending, ecommerce warehouses and retail space are poor. Are there any other segments that could account for the deviations?
Mark Millett: Well, I think from a -- we got some feedback going on here, but the -- we're talking principally fabrication here. Yeah. I think it -- when -- again, all we can do John, is look through our book order book or lands, but obviously the distribution warehouse arena has come off, not stopped. It's not -- Amazon obviously came out very publicly and sort of almost holding the development because they over bill, but that's not the case with other distributors. It's still ongoing market for us. All of them is there. But I think we picked it up education, healthcare has been positive and the just manufacture -- manufacturing facilities, the battery plants, the chip plants are picking up. Not at the rate to offset, totally offset that distribution base, but nonetheless, it's picking up strongly and we would anticipate continued growth next year. Just the infrastructure, the IRA spending that certainly will bolster our order book there and give it some support.
Unidentified Analyst: In terms of the two-year decline in spot sheet prices of $1,200 from big records, how much damage do you think that's caused across consumer and distributor inventory as you know, and prices fall, people don't want to hold the hot potato.
Mark Millett: Well, I think the biggest impact is the reduced level of speculation in the supply chain. In fact, it's not a reduced level of speculation. People just don't speculate anymore. So you see people that's kind of hand in mouth. They tend to be ordering and buying on as needed basis that, that allows consistent shipping since July, mid-July, where we've seen very, very, very consistent order input rates and deliveries. Even as pricing came off the pricing this time and just as it was last year, last year with had a similar story with a very constructive outlook for 2023, which in all honesty came to fruition. The emotion last year was [indiscernible] us, we're headed for a recession and we got high interest rates, inflation, et cetera, et cetera, et cetera. There was no change, no structural change in underlying demand in the fourth quarter of last year. We're seeing the same thing today. Demand is very, very solid across virtually every market sector that we have. Yet we see -- saw that softness strike related emotional. People are starting to see lead time stretch out. They're starting to see, or get a little worried. We're booked out. And essentially our order book is closed for November. And given the interest, we see for December, we haven't opened that book yet., We're not so sure we will be able to satisfy the total appetite there. So it's a positive market momentum going into 2024.
Unidentified Analyst: Thank you. I'm a shareholder.
Mark Millett: Thank you. Stay that way.
Operator: [Operator Instructions] That concludes our question-and-answer session. I'd like to turn the call back over to Mr. Millett for any closing remarks.
End of Q&A:
Mark Millett: Well, thank you, Holly. And for anyone that remains on the line, I would tell you I am blessed. SDI is blessed. Each and every one of us is blessed here because we have phenomenal loyal customers. Thank you for your support today and in the future. We have great service providers. We've got a phenomenal, phenomenal team of people that come to work, as I said earlier, inspired and positive each and every day. So thank you. Thank you for those that our shareholders and those on, I would hope that you consider us because we will create better shareholder value than most folks in the years ahead. So thank you very much. Have a great day. Bye-bye.
Operator: Once again, ladies and gentlemen, that concludes today's call. Thank you for your participation and have a great and safe day.